Tom Erixon: Good morning, and welcome to Alfa Laval’s Fourth Quarter Earnings Call and also for the full year, so Frederik and I, we will give you a run down on the year and the quarter. As always, let me start with a couple of introductory overview comments from the year. Growth continued strong in the fourth quarter and the full year of ’24, ahead of expectations with favorable market conditions in most applications. It was especially good momentum in the short cycle business in the food and water and in service overall. Now, we enter 2025 with a solid SEK52 billion order book and good momentum on the short cycle side. The full year ’24 margin was at 16.6%, ahead of last year and also slightly above our expectations when we entered the year. Q4 was seasonally a bit weaker but also affected by some one-off charges. The operational cash flow was solid in Q4, with SEK4 billion and the new record level of SEK12 billion for the full year ’24. And so consequently, our balance sheet is strong at the moment and supportive of various options going forward. Let me then go to the key figures. Organic growth was strong in Q4 at 8% organically with good conditions in many markets and more positive business climate in the second half of the year compared to the first half. Invoicing also grew at 8% but somewhat below expectations. The order book is solid and there are no extraordinary delays in project invoicing, rather perhaps the precision in our invoicing forecast was a little bit off. The Q4 margin at 16% was somewhat affected by one-offs related to restructuring costs in a couple of different areas and certain project risk exposures. Operationally it was a stable quarter, with a reasonably stable invoicing mix. Moving to the energy division, we entered ’24 in a weak HEVAC and heat pump market and anticipated a volume drop maybe in the order of magnitude of SEK2 billion to SEK3 billion for the full year. At the end, the drop was compensated fully with growth in other end markets and Q4 was back on a healthy growth of 7%. Notably, clean energy applications grew with 40% compared to last year, although from somewhat small level the global concerns regarding the pace of the energy transition is perhaps a little bit overdramatized and we are now looking at a clean tech business in the energy division for around 10% of the total order intake. Also data centers application grew, especially in the second half of the year, and compensated partly for the continued weak heat pump market. The data center demand is expected to remain firm in the first half of ’25, while the heat pump market recovery is mainly anticipated into the second half of the year. Both invoicing and margins were stable in the quarter despite the underutilization of several production units. The profit protection program has yielded a better result than expected for the fully year ’24 and for Q4. Then moving into the food and water division. The division entered ’24 with a strong order book after an exceptional year for Desmet, with several large order bookings in ’23. As expected, Desmet returned to normalized order intake level in ’24 and most of the drop was compensated for by other end market sin the food and water division. The recovery in the short cycle business continued, both for equipment and service, and Q4 ended very strong in this area including in China. The margin for ’24 was on the expected level but with the Q4 affected by some restructuring costs and some project risk exposures. In most end markets, the sentiment is positive moving into ’25. The project pipeline, including for biofuels, has strengthened somewhat compared to last year and in the year after the election year it’s also expected to recover into 2025, an important end market for the food and water division. Now to the marine division. After strong ship contracting market and a solid order intake in 2023, we were a bit uncertain regarding the order intake for ’24 at the beginning of the year. Instead, it became another record year with orders of SEK30 billion and we finished the year with a 40% order intake growth in Q4, it was a very strong year indeed. The order book is now well loaded for both ‘25 and ’26 and continued good market conditions are expected as we move into the first quarter of ’25. After two years of strong tanker contracting the expected slowdown in order intake not what it was will likely affect the divisional order intake from Q2 and onwards in the cargo pumping business specifically. For all other applications, business conditions will likely remain positive into all of 2025. The margin was positive and stable in Q4, as expected, and somewhat affected by one-offs in the quarter. Then onto service, again it was a very strong service quarter with a 13% organic growth pace. The full year reached a growth of 8% supported by good momentum in all three divisions. So, then moving onto -- sorry, so finally, then let me say on the service -- sorry at the large market -- okay, I recap on this, so we’re back to the service. Throughout the period of strong growth in capital sales the service growth has been following the same growth patterns as capital sales. So service continues to account for approximately 30% of the group invoicing providing a healthy mix. We will continue our strategic focus and operational investment into our service organization with a positive outlook into ’25. Then finally, to top ten markets. China is now by far our biggest market, driven not least by the marine sector. However, all three divisions have returned to growth in China during 2024. India had, as I mentioned, a weak ’24, but markets are expected to recover in ’25 supported by a reinvestment in the production capacity locally. South East Asia was okay but affected in comparative numbers for ’23 on a couple of large orders, otherwise the region is positive. The US is obviously a bit uncertain for ’25 but in general the momentum was positive until the end of 2024. We do not expect major effects from possible tariffs on the Alfa Laval specifically, however, tariffs may have some effect as the hyperinflation on large CapEx projects did a couple of years ago with resulting projects delay in the pipeline. It remains to be seen if that materializes. So, with those words, let me hand over to Frederik for some further comments.
Fredrik Ekstrom: All right, Tom, before we do that, I think we want to mention something about the acquisition that we have also announced this morning.
Tom Erixon: Yeah, indeed, very good. And so, as we said for a long period of time, our belief on the energy transition is that the toolbox is required and especially in the marine you’ve seen the toolbox of what we call in the exploration market with a number of new initiatives, we have now complemented that with a small acquisition related to anti-fouling of hulls. It’s the same principle as for OceanGlide, we are looking to reduce the friction in the water and create energy savings and fuel savings for the ship owners. It is in a startup mode, so when we have commercial installations, we will look to rapidly expand it in the coming years. For 2025, however, do not anticipate any particular impact on neither invoicing nor margins or results. So that’s where we are with it, we are very excited about it, the toolbox is getting completed.
Fredrik Ekstrom: Thank you, Tom. And now a quick update on the quarter four financials and also some comments on the full year 2024. Quarter four exceeded expectations, adding some SEK18.5 billion to the SEK75 billion of order intake for the year. Beyond the high contracting levels in Marine, it is noteworthy that this development offsets the normalization of elevated project orders in Desmet for oleochemical and biofuel projects booked in 2023, and it also compensates for the continued low level of activity in HVAC, notably heat pumps. Currency has a negative impact on the whole year, mainly driven by the movement of US dollar to euro. However, we have a strong organic growth of 7%, which brings the total growth of the year to 5.4%. A final note is that the underlying strength of the base business, including service in terms of total order intake is to be noted. The total order book after a strong quarter four amounts to SEK52 billion with a corresponding book-to-bill of 1. The majority of the backlog is phased for invoicing in 2025, and our current view is that it is well aligned with current market prices. Marine represents some SEK27 billion of this order book with a heavy marine Pumping Systems content for delivery in 2025. The order book for Energy is at SEK10.6 billion and Food & Water at SEK14.9 billion, which also provides a good fundamental revenue base for 2025. This all-time high order book compensates for the inherent volatility or lumpiness of orders in relation to revenue and result throughout the year. Sales for 2024 ended on a record level of SEK67 billion, of which SEK18.3 billion were recognized in quarter four. Organic growth in the quarter was 2% with an additional 0.6% added by currency. On a whole year basis, the revenue grew organically with 6.3%, and currency had a negative impact of 1.1%. The service mix proportion of revenue remains on or about the same level of last year, which is 28% of the total, or some SEK21 billion revenue of SEK67 billion for the year. From a product perspective, our extensive heat exchanger range stood for 42% of the revenues. With a record high order book, our revenues should remain solid throughout the year despite possible order intake volatility and mix change. Quarter four gross profit margin was 34.4% compared to 31.6% in quarter four of 2023, adding some SEK163 million to the result coming from the good factory results and purchasing price variances, the balance coming from volume. R&D increased by 4.8% in the quarter compared to last year and some 12% in S&A, where the majority of the increase is related to added resources. Operating income increased with 8.7% despite some one-off charges in the quarter. The tax rate of 27.1% in the quarter was unusually high as a consequence of tax audits where the additional tax burden has been recognized, but the non-corresponding adjustment is not in other tax jurisdictions. EPS of SEK4.96 in the quarter represents an increase of 31.5%. Let me also give you a quick summary of the whole year. Gross profit margin at 34.6% compared to 32.8%, which again is boosted by good factory results and positive purchasing price variances. S&A is up with 11.5%, but remains close to the historic 15% in relation to revenue. R&D is up some 6% and remains stable around 2.5% of revenues, a welcome increase as we continue to innovate. Operating income increases with 12.7%, yielding an adjusted EBITA margin of 16.6%. Tax rate at 25.6% is just within our guidance range and brings the EPS to SEK17.88, an increase of 17%. A strong result for 2024, underpinning the fundamental profitability of our business and a strong signal to continue to invest in growth initiatives and our strategy. The quarter four adjusted EBITA margin bridge confirms the positive development, with the majority of the improved margin coming from increased revenues, purchasing price variances, which more than offset year-end provisions and restructuring costs that we take as part of operating activities. For those wondering how that distributes itself, it's 40% in Food & Water, 40% in Marine and 20% in the Energy division. However, we also did fall short on invoicing in the last quarter with a revenue contribution that defers then into quarter one. For the full year, the revenue growth and the increased gross profit offset the cost increases to yield an improving margin of 16.6%. Quarter four cash flow from operating activities yielded SEK4 billion, which after another high quarter of CapEx at SEK1.1 billion, resulted in a SEK3 billion free cash flow, concluding another quarter of strong cash flow conversion and strengthening our balance sheet. On a whole year basis, cash flow from operating activities increased with 32% to SEK12 billion. Record-level CapEx at SEK3.3 billion resulted in a free cash flow level of SEK8.8 billion, an increase of 31%. Our debt position has been proactively reduced with SEK3 billion and a dividend of SEK3.1 billion for our shareholders composed the bulk of the cash flow influencing financing activities. With a final cash flow of SEK2.1 billion for the 12-month period, we conclude 2024 with a strengthened financial position. The positive development of operating working capital and increased EBITDA has also yielded a high level of return on capital employed at 23.2% compared to an already good 21% in 2023. Debt has been proactively reduced with SEK3 billion to bring the current ratio of debt to EBITDA to 0.8. Net debt after cash and cash equivalents, including current deposits, is SEK2.4 billion or 0.19 of EBITDA. Lease liabilities increased with SEK400 million to SEK3 billion, which yields in net debt, including lease liabilities, of SEK0.43. The recommendation to the annual meeting is a dividend of SEK8.50 per share, which would equal a dividend of SEK3.5 billion to be distributed in quarter two of 2025. Our current cash and debt position and its maturity profile allows us for a strong acquisition position in 2025. Now, to some final guidance remarks. CapEx guidance remains high with a guided interval of SEK2.5 billion to SEK3 billion. Currency impact based on current FX levels should be accretive in the year with SEK265 million. PPA amortization of SEK450 million and a final tax range of 24% to 26% and, as previously mentioned, an increase of 13% on the proposed dividend for 2024 at SEK8.50. With that, I hand over to Tom for some closing remarks.
Tom Erixon: Thank you, Fredrik. And then finally, our outlook statement. And this time, it's unusually straightforward. We are expecting demand to remain on approximately the same level sequentially as in Q4, and that holds true for all three divisions. So essentially unchanged market conditions expected in all three areas moving into the year and Q1. So with that, thank you, and we are ready for questions.
Operator: [Operator Instructions] And the first question comes from the line of Max Yates from Morgan Stanley. Please go ahead.
Max Yates: Thank you, good morning. Just my first question is just around your data center business. Could you just give us a feel for in order terms how fast that business is growing currently? And maybe just, I think there’s been some discussion in the market about how much of your exposure is liquid versus air cooling. I was wondering I think you’ve talked previously about data centers as about 10% of the energy business but could you give us a feel for how much of that is liquid cooling versus air cooling? Thank you.
Tom Erixon: Good question. In terms of how fast it's growing, I hesitate to answer that. I think because we will see. We had good momentum on the data center side in second half, as I indicated. I think we are not a large system supplier. So I think the order intake for us has been a bit later than in some other areas where you've seen the data center growth in the order book in other sector-related sort of systems. So, we feel the momentum for us will carry into certainly the first half and possibly for the full year. So, on the order of magnitude of about SEK2 billion business in 2024, if the pace holds the full year, it should possibly then grow somewhat compared to last year. I think we feel we are in a reasonable position. We are in some long-term contracts in this area. So, I think we have a good product solution. We have a good technology base and a good market position to hold our share going forward. I'm not exactly sure how the split is. We may come back to you on that rather than guessing. But what is clear is that the water cooling side is growing in importance. And so for going forward, we think this will become increasingly important as part of the mix.
Max Yates: Okay. [Technical Difficulty] something in the region of kind of SEK15 billion of orders in that business. I mean, at least I realize it's unpredictable, but at least from sort of where you stand today, how are you thinking about the evolution of that business based on everything you see and speak to with your customers and think about further capacity that you have? How do we think orders there evolve? And what would you say are the major offsets where you look at big buckets of growing business that can help offset that headwind, whatever it may be, SEK3 billion, SEK4 billion, SEK5 billion?
Tom Erixon: Sorry, I lost you. Are you referring to the -- your sound went out, but were you asking about possible volume loss on the Marine side?
Max Yates: Yeah. I was asking about it, if we think about kind of as we sit today, Pumping Systems is roughly SEK15 billion, what is your kind of best assumption for what we may lose in orders from Pumping Systems? And what would be, in the same way you had some offsets for Desmet in 2024, what would be the major offsets that you would be looking for in terms of kind of building blocks to maybe offset whatever that Pumping Systems loss may be, whether it's SEK3 billion, SEK4 billion, SEK5 billion of orders year-over-year?
Tom Erixon: Yeah. It's a very relevant question, and we certainly are a bit analytical in trying to figure out what the bridge looks between '24 and '25. Let me start by saying I actually thought when we started last year that we would end up with a smaller order book going into '25 than we had going into '24 because we knew Desmet was coming down, we knew heat pumps were coming down, and we did not see the strength of the marine market would hold for the full year, at least it wasn't a strong assumption that it would. So the fact that we came out with such a strong growth is, a year later, well beyond what we expected at the time. Now, we have sort of a similar situation coming into this year. And I think our best -- if you think about the Framo business historically, being moving around maybe the SEK5 billion up to SEK6 billion mark as an ongoing invoicing, obviously, the SEK15 billion, which is more or less the correct number, is not anticipated to repeat itself. There is no way that we can, over the cycle, move up to SEK15 billion invoicing per year. It's not going to happen. And the order books in the yards will not allow it and our capacity will not allow it. So I think what we have achieved with the SEK15 billion this year and good order intake '23 is we provided a good and stable platform for invoicing and invoicing growth in '25 and '26. So we are not, when it comes to the Marine division and the development on invoicing and margins, we are not so concerned about what the order intake number will be in 2025. Now if we return to where the predictions are in the market and how we feel about it, cargo pumping will go down after Q1, and we believe that offshore will be somewhat better and service will be somewhat better. So I think we are looking at the order gap that is somewhat higher than you are anticipating. If we get to double digit, that would be a very good result, but I'm not so sure we will. So we have a gap to fill. The way we look at it was that it was important for us to come in on a better momentum and high level on the short cyclical business there for once. That's sort of what's going to decide how '25 turns out. The project order book largely is pretty much in place. So the pace of short-cycle business will determine where we end up invoicing profit-wise in 2025. And we got to a position which was as good as we could hope for, finishing off Q4 strong. In terms of closing gaps, we believe that the biofuel market and project market in that area will be stronger this year. So we think the Desmet, but possibly also our other project businesses in Alfa Laval, will compensate somewhat for that. So there is partly something that will fill the gap there. We believe that we will, in the second half, have a return in recovery mode on the heat pump market, which will also close part of the gap on that. So I think those are the two structural ones. But otherwise, I would say that if we look at 14 business units in different product segments, most of them are looking at the normalized positive growth into 2025. So we are not too concerned on the business cycle or the general market sentiments across the board. We think, broadly speaking, the portfolio is developing okay. And if you want the second or third closing the gap thing, I think the question of where we will go on what we call the exploration bucket or the energy transition bucket with new technologies, and we obviously have been growing well in 2024, the pipeline on some of the energy transition projects looks somewhat stronger now than it was a year ago. So also on that side, we may see some structural things that is helping us closing the gap to the -- on the order intake level specifically. Long answer, sorry, but I hope you get the picture.
Max Yates: No, that’s great color. Thank you, Tom.
Operator: Next question comes from the line of Daniela Costa from Goldman Sachs, please go ahead.
Unidentified Analyst: Good morning, Tom and Fredrik, this is Meihan working with Daniela from Goldman. So two questions from me. First, can you talk about your expectations for Marine pricing going to 2025? And the second question is if you can share more details on the restructuring you did for Food & Water and Marine business. Any particular reason it didn't get booked under the adjustment items? And are you planning to do any further restructuring in the rest of 2025? Thank you.
Tom Erixon: I think the pricing for '25 is already a done deal. The codes have been accepted. The orders are booked. So we are where we are. But we feel good about the mix, and we feel good about our market shares, and we feel good about the gross margin level in the book. So, when we look into margins and invoicing for next year, Marine is not the question mark for us. It's more or less -- I will not say it's a done deal, but largely speaking, the conditions are set for 2025 on that note. On the restructuring side, we feel we don't want to confuse ourselves and the market with ongoing restructuring programs. And so we are just taking some of these ongoing restructuring activities as part of our operating cost, as Fredrik said. And had we had any major restructuring above and beyond that, we may have dealt with the question otherwise. But on the SEK200 million level, we felt it was the right to just charge it in the businesses and take responsibility for ongoing operational improvements. It refers partly to some changes in our R&D department in parts of the organization where we have stopped certain projects and we're on a structural overcapacity situation. We are, on the Marine side, continuing to building our presence in China. So we are transferring part of our resource base and structures, not only in manufacturing but also in engineering, on to Qingdao, and that is also leading to some restructuring charges. So there is a host of these things that were a bit spread out, and we just thought we charge it in Q4. We don't have anticipated any major restructuring effects in 2025. We're going to have to -- of course, we have an underutilization on the heat pump side. We are expecting it to come back in Q2. So all in all, we feel we are okay. But I would say if there is any uncertainty, it is related to that.
Unidentified Analyst: Got it, thank you.
Operator: The next question comes from the line of Sebastian Kuenne from RBC Capital Markets, please go ahead.
Sebastian Kuenne: Yeah, good morning, thank you for taking my questions. First, on Marine, it looks like that the revenue recognition in Q4 was a little bit softer than what people expected. Is this maybe also a reason of shipyard bottlenecks? And if so, what's your view on the shipyard capacity build-out for 2025? That's my first question. And secondly, on Food & Water, taking out the restructuring charge, it looks like that the margin was slightly up year-on-year, but still below expectations. Is this also driven a little bit by the Desmet mix effect or do you see kind of margin pressure also within the product lines? Thank you very much.
Tom Erixon: Yeah. On the revenue recognition, I hesitate to -- we sit with a big product portfolio, a lot of percentage of completions, and we don't have specific detailed systems to clarify exactly how much of the order book will go out in a given year, in a given quarter. So we have to do some qualified estimates as where do we think those dates are. And so I think it's more a question of us being able to nail a precise number as the one that should be there. And so I don't think it's just a deviation in terms of what should be expected. I think it's a deviation maybe that is just reflecting a certain uncertainty as to exactly where we will end up on the invoicing. What is important for us is that we know that we have a firm order book. There's no major delays or structural delays or cancellation or worries about the integrity of it. We feel good about the order book. And I think we are just a bit humble that we may have not been perfectly being able to guiding you guys as to where should the expectations be. So for Q4, I don't see that in Marine. But to your question, the load on the shipyards and the load on us is significant going into 2025, especially when it comes to commissioning, taking extraordinary measure in order to recruit and build primarily in China, a team that can manage the whole commissioning of a huge product pipeline and big demand. And for some yards that are not that experienced in working with part of our product range, the support to get this to work is going to be big on our side. So we have not failed to deliver on time in the marine industry, we don't intend to be there in 2025, but we are putting a lot of -- our worries, the challenge we're trying to solve is just to be able to complete all of this. We are not so worried about the order book or that sort of stuff. So we see where it goes. But we have a lot of pressure on us for '25. And I think we've taken the measures that we can in order to safeguard it. So I think we are in a good spot, but it's going to be a challenge for our organization. That's for sure. On the Food & Water, yes, it's a bit of a mix thing. We have a project business also in Food Systems that wasn't quite up to the margin level that we were looking at. But otherwise, in the product groups, the transactional business and the service business, we have no margin deterioration. We were, as you know, in the beginning of the year, in a bit of a low utilization on the transactional side. It started to recover during 2023, but we are now on a good level in the pace. So I think on the utilization level, on a pricing and gross margin level, we're going to be okay in the various product groups for Food & Water. So I think it's mix changes and possibly the question of where we're going to end up on the final margins on the product business that's going to set the level for 2025.
Operator: The next question comes from the line of Klas Bergelind from Citi. Please go ahead.
Klas Bergelind: Thank you. Hi, Tom and Frederik, Klas from Citi. My first question is on energy, on the heat pump side and also like industry and tech. I was under the impression that the heat pump business started to grow a bit here after the third quarter, was this some sort of de-stocking at year end that drove this and you’re commenting that the recovery will happen in the second half. I think you said before that we could see a relatively normal level, of course below the previous peak, but by the second quarter. I wonder if you feel that the recovery is a little bit slower now? And then on like industry tech, unless the data center business slowed, the drop in service must have been quite big as data center is about like half the industry and tech. if you could shed some light on what you see of the total segment into the first quarter? Thank you.
Tom Erixon: I think for the total segment we are okay, we are not have any special concerns on that. So, it was okay for us in ’24. I think outlook for us is okay. So no big worries on that. I agree with you that the question on how will the recovery in the heat pump market look has been a bit uncertain and I was probably one who would expect that the de-stocking things to show in a somewhat quicker volume recovery than we’ve seen so far. But I think the lag and the caution on behalf of the OEMs when they put their production plans and consequently their orders has been a bit more cautious than we expected so far. If you ask if there are signs of recovery, yes, for sure. Are there some orders now that started to come in, covering for Q1, Q2 yes there are, but they are not meaningfully changing the pace ad utilization for us in Q1. So, we will see a little bit whether the de-stocking effects takes out some of the system a bit quicker now in Q1 but we are just prepared that we’re going to have to manage the first half on a conservative volume scenario.
Klas Bergelind: Okay. Final quick one on marine between product tankers and the other segment, you’re now talking about orders on the cargo pumping side still being healthy until the first quarter and then to start to normalize. If you could comment would you think orders ex-tankers will accelerate from current levels or you still remain stable? I think, Tom, you said that orders ex-tankers in marine should be healthy but I was just wondering whether this lagged effect, which is typically longer outside tankers, will see orders accelerating or just being stable? Thank you.
Tom Erixon: Yeah. No, it's correct. That's how we judge it. We are looking at the '24 full year contracting volume across all ship classes at a level we haven't seen for many years. The count now stands at 2,300 something. I think it will go up a little bit in the next couple of weeks as we are updating the '24 numbers. And for many of those, and especially on the product tanker side, the orders are in very early for cargo pumping, and they are not as fast in the cycle for most of the other product groups. And in the contracting volume for '24, there's a lot of ships that are for delivery in '26 and '27. And so there's no need to post those orders with us yet. So we believe that the momentum and the conditions are reasonably favorable for essentially all of the other product groups in the Marine division into 2025. Now with the volumes we are talking about in cargo pumping, that may not compensate the whole thing, but it should at least balance out a little bit in terms of order intake volume in '25 compared to '24.
Klas Bergelind: Perfect, thank you.
Operator: Next question comes from the line of James Moore from Redburn Atlantic. Please go ahead.
James Moore: Yes, morning everybody and thanks for the time. I've got some questions on Pumping Systems, if I could. I just go back to the order comment of SEK15 billion or SEK14.5 billion of orders in Pumping Systems. Could you give us a flavor for what the mix was between the cargo Marine business and the offshore business? I think you commented a few years back when orders were maybe SEK5 billion, that it was 50-50. But I assume that we might, I don't know, SEK11 billion, Marine; SEK4 billion, offshore, could you help us just understand a little bit how that mix changed to what it is now? That's the first question, if I could.
Tom Erixon: Yeah. Do you have the exact number in your head, Fredrik?
Fredrik Ekstrom: Not the exact number, but I believe it's 70-30.
Tom Erixon: Yeah, same thing I was going to say. So I think we are somewhat shy of double digit on the Marine cargo pumping. There is also service aspects in the total order mix. So subtracting service and then splitting it on capital sales between the two is probably taking us to a high single-digit order intake on the Marine side. And our guidance for '25 is that while we believe the volumes on the Marine side will not repeat in this area, we see a stronger offshore market, and we also have a stronger product offering there. So that's going to make up for part of the expected volume drop on the Marine side.
James Moore: Okay. That's very helpful. And just in terms of the revenue in pumping. I think you've talked in the past about having quite a healthy backlog that stretches into 2026. But would it be possible to give a sort of rough flavor of the revenue of Pumping Systems these days? And what sort of sales growth you would expect in '25 on the invoicing side?
Tom Erixon: We are not guiding too much specifically. I understand your question, and we also understand that it has some importance in how you run the calculations. But let me just say that we feel we are in a healthy growth phase on the invoicing side for '25 compared to '24 on the marine side, on the cargo pumping, for sure. Whether that growth will continue into '26 or whether we will stabilize on that level, that's a question for next year's full year report. But we feel quite comfortable about the invoicing growth. And as I was indicating before, what's going to determine the invoicing for the year is can the shipyards keep the time plans, the delivery schedules. And so there are a little bit of uncertainty exactly how much it will go, but we will see a healthy growth in this area.
James Moore: And just finally, sort of continuing down the P&L really. On the margin for Pumping Systems, would it be fair to say that we would still expect that to progress quite well because of the Marine side sort of returning back to a very healthy base?
Tom Erixon: We have on the order book what we consider to be a normalized margin in 2025 compared to where we've been historically. So the mix change will have some positive impact moving into 2025. That's our expectation.
James Moore: That’s really helpful, thanks so much.
Operator: The next question comes from the line of Andreas Koski from BNP Paribas Exane. Please go ahead.
Andreas Koski: Thank you very much, and good morning. I just also had a couple of questions about the backlog. If I look at the Q4 backlog for delivery next year, that is 60% higher than the backlog you had for delivery in 2023, and it's 22% higher compared to a year ago. It also sounds like we should expect in-for-out orders to increase in 2025 compared to 2024 based on your comments about the short-cycle momentum. So I just want to ask, do you have capacity for this sales level? And what kind of operating leverage should we expect from a significantly higher sales level in '25 compared to '24?
Tom Erixon: Well, as Fredrik guided you on, we certainly have invested appropriately over the last few years in our by far biggest CapEx program we ever had in this company. And we are starting to come to an end of, let's say, the capacity expansion and footprint adjustments to get things done. I reviewed a little bit on the -- I call myself a real estate manager when we did the Capital Markets Day, but we went through a little bit what we have been doing in detail. So we feel good about that. And so in terms of capacity, our main concern is that we are underutilized in the brazed area due to the heat pump situation, and that is a challenge we are trying to deal with. But other than that, we are fine. We have one larger project most likely ahead of us, and that is that we need to set up our pumping system business on the Service side, on the offshore side and on the Marine side and scale that into what is a different activity level than we've been at historically. And so that is the one outstanding project internally under discussion of any major importance in terms of CapEx. And so I'm not too concerned about being able to deliver. The one other area that I touched on earlier is the fact that the commissioning of the marine installations will be important, and we expect that we need to support the yards more and better in this situation than we have historically. So there's a lot of work on that side. But manufacturing-wise, we feel we're okay.
Andreas Koski: Okay. And I was a bit surprised to see that your backlog for delivery later than next year is actually down slightly compared to a year ago. So maybe you've already touched a bit on this, but is there a meaningful risk that you've overestimated how a large part of your backlog will be delivered in 2025? Because otherwise, it doesn't look like you are in a better position, I mean, in a better backlog platform for 2026 than you were for 2025 a year ago.
Fredrik Ekstrom: No. And of course, the backlog, we update continually the phasing of the backlog and some of it is dependent on how our customers take deliveries when the shipyards are able to take delivery and when our large project customers are able to take delivery. So there is, of course, an element of the backlog that will change or alter itself from a maturity point of view based on that. Based on what we know today, we make the judgment that SEK13.1 billion of the SEK52 billion is into 2026. That may change over the year, but that's our best assessment now. And as to the consequence that has on an in-for-out business, yes, I mean, if you look at it and you look at the transactional business, it does provide a strong base for revenue growth in 2025. What it means also is, of course, that the replenishment of that order book into 2026 is something that we need to happen during 2025. And of course, Tom has gone to quite some detail in the 3 divisions to give you a picture of what we believe that replenishment rate is going to be.
Andreas Koski: Understood. And could I just ask lastly on your outlook. If I look historically, sequential Q1 orders have not been down a single time since 2017 at least. And on average, Q1 orders have been 8% higher than the Q4 order intake. So I just want to understand that we should expect sort of normal seasonality in this quarter and that your guidance of relatively unchanged demand is on a seasonally adjusted basis.
Tom Erixon: Well, we haven't adjusted it. I think our guidance is that we expect the numbers to come out pretty much flat sequentially. That is our base assumption. And yes, so I don't like to recommend you to put a number in your own forecast, but we feel unchanged is the most likely scenario.
Andreas Koski: Understood, thank you very much.
Operator: The next question comes from the line of John Kim from Deutsche Bank. Please go ahead.
John Kim: Hi, good morning. I’m wondering if we could go back to the restructuring charges. Should we expect more or is this kind of a fairly large adjustment in how you’re thinking about running these businesses? And if you could just give us a bit of color on the H2 recovery in heat pumps, what gives you confidence on that? Is there any legislation we should look for?
Tom Erixon: Do you want to take it?
Fredrik Ekstrom: Well, when it comes to the restructuring charges, as we've said now a couple of times, it is very much to adapt the existing business to a changing market or where we see that there's a need to make new initiatives. And we have chosen to take those as an operational cost. Now it is true that they accumulated very much into quarter 4, and that's something that we have taken upon us to make sure that when we have these initiatives and when we have higher provision levels for whatever reasons that may be, that we take them more spread out during the year. That is one thing we take away from that. As regards to larger restructuring programs in 2025, we have none such identified. We have a running business. And if there's a need to adjust businesses based on changing geopolitical factors or supply chain movements, then we will do so in the course of business, but we have no single larger restructuring program planned for 2025.
Tom Erixon: The heat pumps, you come from that business.
Fredrik Ekstrom: Well, I mean, to add some color to the heat pump, I think we did see volumes starting to come back in the later half of 2024, and that's from a very low level. Having said that, it is new orders, and it is somewhat indicative of a destocking now complete. Now we need to see the fundamental demand, of course, increase. And there are many governments moving into subsidies. There are many governments moving into programs where the decarbonization of heating continues or rather the defossilization of heating in the form of gas heating. But of course, the rate of that substitution and the magnitude of those programs is altered. It is smaller than it was before. So even as we return into what we would say is a normalized heat pump volume into quarter three, quarter four of this year, it certainly won't be back at the historic high levels that we saw towards the beginning of 2023 and certainly -- sorry, the end of 2023 and the beginning of 2024. Having said that, we expect a healthy business in heat pumps to continue going forward.
John Kim: Okay, helpful, thank you.
Operator: The next question comes from the line of Sven Weier from UBS. Please go ahead.
Sven Weier: Good morning, thanks for taking my questions. I'll start with Marine Services, please. I was just wondering what your best guess would be how much of the Marine service revenues are tied into freight rates and trading activities of your clients? And how much do you think is really more kind of structural decarbonization-related refurbishments? And any best guess on this one? And then I'll follow up with another one. Thank you.
Tom Erixon: Yeah. As you know, we have been through a very strong growth period in our service business, not only in Marine, but also in the other areas, and we've been up at double digit. We were again super high in Q4 at double-digit growth. So well above what we would consider normalized service growth. And initially, after the pandemic, we were asking ourselves and we debated also, and we were transparent with you, we couldn't see a pent-up demand situation per se. But we were wondering ourselves whether there actually were elements of accelerated growth over a shorter period of time, and then we would plateau and normalize. So we've been extremely aware of how actually underlying trends going. Now with the pandemic years behind us, and the growth continuing, I think fundamentally, we feel the structural growth driver in our service business in Marine and other areas is related to a broader product range with new products, especially in the Marine side, that is being matured for service programs, including ballast water applications and scrubber applications and a host of other things that we didn't do five, 10 years ago in terms of service. And that was true in other divisions as well. The installed base after years of strong capital equipment is better. And secondly, we are having a higher market share, and we serve today a bigger part of our installed base than we did five, 10 years ago. And the work we're doing in the service organization is very important and continues to drive our share of servicing our own products in a better way. So I think those two factors are common for all three divisions, and they are certainly relevant for the Marine business as well. Then comes the question of the global merchant fleet. And I think there is right now a cyclical aspect related to the fact that essentially the scrapping of older ships is coming down to 0 or very close, and it ought to be higher. But under current prevailing economics and freight rates, essentially all of the old ships are continuing to moving on the oceans. And consequently, that does drive a bit of accelerated demand in the marine sector specifically. Now I would counterbalance that with the fact that at this point in time, we have about 1,000 of those old ships in the shadow fleet for Russia. And those are no touch for us, obviously. And so some of the ships that would have gone to scrapping has actually gone into a non-serviceable fleet for us. And so I think should we get into an increasing scrapping situation, I don't think the negative effect will be as present as you perhaps would have expected, otherwise all of us are operating under our service contracts and all our old ships would be taken care of by us, that's not the case. And so I hope we will see a scrapping of the shadow fleet. It is not a healthy situation for anybody. It has no material impact for us. So freight rates coming down, some ships going out of service may have some impact in the future. But structurally, we feel quite healthy about where we are on the Marine side.
Sven Weier: Yes, thanks for this, Tom. And then just two quick ones on product tankers. The first one being you said the orders will flow from Q2, I was just wondering, you had a 1 billion slowing between Q3 and Q4, so was that not product tankers? And the other question I had was the product tankers share obviously being 50% of orders, what was it on sales and do you think the 50% of sales will then be in ’25 already? Thanks.
Tom Erixon: That's a bit too detailed for our appetite, right?
Fredrik Ekstrom: Yeah.
Tom Erixon: But it’s true, the tanker contracting was super high in the idle of the year. And just so you’re aware of the numbers if we look on historic average on product tankers over a long period of time we look at a couple of hundreds, I think last year we were at 540 or something like that, two, three times normal averages. And it peaked in the middle of the year. So yeah, I think a fair share of the delta between Q3, Q4 was related to that and our indication is that we will be a reasonably stable into Q1 on the current level and then next quarter we will update you on that. But our anticipation is we will see a weaker market.
Fredrik Ekstrom: One thing we could add there on the revenue side is that the revenue development won’t be equal to the order intake development that we saw last year, it will be much more linear over the next 18 months.
Sven Weier: So it’s still taking until next year before you have the full impact?
Tom Erixon: We are probably not peaking in volumes first half this year, no.
Sven Weier: And you think product tanker orders will be stable for you in Q1 and then it goes down further in Q2? Is that the guidance, right?
Tom Erixon: Correct.
Sven Weier: Okay. Thank you, guys, thank you.
Tom Erixon: Thanks.
Operator: We have a last question coming from the line of Max Yates from Morgan Stanley, please go ahead.
Max Yates: Hi, I just wanted to come back on the cerebral topic of inflation and I guess we had that period coming out of COVID where you had some challenges in the marine business from fixed price contracts. So, look, you made a comment on tariffs but broadly if we get a return to inflation how are those contracts set up differently today versus where they were three, four years ago? Because we’re in a similar position where we’ve got a very big backlog in marine that’s going to be delivered over a number of years, so if we do start to see inflation coming back how are those contracts different to where we were there, four years ago?
Tom Erixon: I think answer is some are different and some are not. I mean the normalized level of closing those contracts is that they are fixed. And if we look historically, the main driver of difference is material prices. And of course, on the group level, we are looking at our material purchasing contracts going forward. And Fredrik is responsible with his team for the hedging processes. So we do hedge. And when we look at today's inflationary risks, we have a much more healthy raw material market, both on stainless and on carbon steels. And so what drives our gross margin in the Marine portfolio is mainly a COGS bill of materials question, and that's what we are monitoring very close. Then there are, in some areas, opportunities to renegotiate. And so we have a fairly clear picture of where it sits. In terms of tariffs, we are getting, obviously, with some exception, fairly strong presence in China for our manufacturing and contract executions part, not for the cargo pumping specifically, but certainly for the rest of the product range. So we source a lot in China. We engineer and install and build a lot in China. So generally speaking, in the division, the tariff is not anticipated to have a major contract. If we would get some sort of exposure here on cargo pumping, I think we might need to get back to a situation where China would impose heavy tariffs on that order book. I'm not exactly sure what the answer to that question is. And your question is, I think, it's general. we are overlooking our various exposures in terms of tariffs across various geographies. We are not alarmed by the initial analysis by any means, and we see where the whole thing goes. But we still have some homework to do in terms of calculating whether we have unforeseen risk exposure on it. But at the moment, we feel pretty good about the whole thing, but let's see. I don't know if you have a further comment.
Fredrik Ekstrom: No. As everybody else, we're also moving quickly to understand the flows would be, could be affected by tariffs and what the magnitude and how we mitigate for the effect of those tariffs should they happen and where they happen and to which countries they happen. All right. So we might give you a clarification on it, but at this point, we are good, we think.
Max Yates: Excellent, okay, thank you very much.
Tom Erixon: All right. And with that, I think we're done. Thanks for your attention. If we don't speak before, we'll see you at the Q1 report, and have a good day. Thanks.
Fredrik Ekstrom: Thank you.